Company Representatives: Sam Choi - Chairman, Chief Executive Officer Gilbert Lee - Chief Financial Officer Eric Tang - Head of Operations, Jordan Roger Pondel - Investor Relations, PondelWilkinson
Operator: Good morning ladies and gentlemen and welcome to the Jerash Holdings' Fiscal 2022 Third Quarter Financial Results. At this time all participants have been placed on a listen-only mode.  It is now my pleasure to turn the floor over to your host, Roger Pondel. Sir, the floor is yours.
Roger Pondel: Thank you, operator. Good morning, everyone, and welcome to Jerash Holdings, fiscal 2022 third quarter conference call. I'm Roger Pondel with PondelWilkinson, Jerash Holdings' Investor Relations Firm. It will be my pleasure momentarily to introduce the company's Chairman and Chief Executive Officer, Sam Choi, along with its Chief Financial Officer, Gilbert Lee and Eric Tang who leads the company’s Operations in Jordan.  Before I turn the call over to Sam, I want to remind all listeners today that this call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous conditions, many of which are beyond the company's control, including those set forth in the risk factor section of the company's most recent Form 10-K and Form 10-Q as filed with the Securities and Exchange Commission, copies of which are available on the SEC's website at www.sec.gov, along with other company filings made with the SEC from time-to-time. Actual results could differ materially from these forward-looking statements and Jerash Holdings undertakes no obligation to update any forward-looking statements, except as required by law.  And with that, I will turn the call over to Sam Choi. Sam. 
Sam Choi: Alright, thank you Roger and hello everyone! Our fiscal 2022 third quarter results again demonstrate excellent progress. Revenue was at a record high for any third quarter in our history, reflecting robust shipments to our largest customers as a result of strong demand and our expanded manufacturing capacities.  Gross profit also significantly improved for the third quarter, primarily because of our higher revenue and gross profit margin performance. Our gross margin expanded to 19%, reflecting increased shipment volumes along with increased orders from higher margin branded products.  I'm happy to report that the strong momentum is continuing into our fourth fiscal quarter and well into fiscal 2023. Orders received year-to-date indicate that we believe we will lead to a revenue run rate for fiscal 2022 that exceed our prior record. As a result, we have increased our revenue outlook for the fourth quarter and we already are looking to work a record setting fiscal 2023, which was past April.  During the past quarter we completed the acquisition of operator of a 71,000 square foot manufacturing facility in Amman of Jordan. Our agreement to acquire the related physical premises is expected to close prior to this fiscal year end. Eric, will provide more details in a moment.  Our business outlook remakes strong, accordingly to accommodate for expected growth ahead we are continuing to explore plans to further increase capacity, both in our existing facilities, as well as looking into other means of adding capacity possibly, building new facilities and/or through leasing and acquisition.  I'll now turn the call over to Eric Tang, who is based in Jordan, and then Gilbert Lee will cover our financial results. Hi Eric! 
Eric Tang: Thank you, Sam, and hello everyone. Our factories in Jordan remain extremely busy. Order volumes were up substantially in the fiscal third quarter from our top global brand customers. These are orders with higher average selling prices and margins than we experienced in the year ago period. And there's more good news to come with capacity completely booked through the end of July 2022.  As Sam mentioned, we recently completed the acquisition of a new manufacturing facility in Jordan. We took over operations of the facility in August, including approximately 500 employees and the dormitory. The integration has gone extremely smoothly. Production from this new liaised facility continues to progress well, and the facility is now fully transitioned to manufacturing products for our customers.  It is expected to enable Jerash to produce approximately 2.5 million to 3.5 million additional garments per year, adding approximately 20% to the annual capacity. We continue to train our employees and enhanced efficiency from this facility, to further expand our capacity for new customer orders and new production categories.  Construction of a new dormitory for our multi-national workforce also is progressing very well, and is expected to be completed by the third quarter of the calendar year 2022. The high quality living space with comfort designs and the highest safety measures will help position us for growth and further our ESG goals.  Among the other key benefits Jerash provides to its employees in Jordan, are the free healthcare and transportation. During the height of the pandemic in 2020 we established a government approved hospital clinic in Amman with full time doctors and nurses to care for our sick workers when hospitals in Jordan were at that time fully on full capacity.  In July 2021, we worked closely with Jordan Ministry of Health to complete COVID-19 inoculations for all employees. Just last week we started working again with the Jordan Ministry of Health to offer booster shots to our workers, a first in the apparel industry here in Jordan.  With that, I will turn the call to Gilbert to discuss our financial results and the fiscal 2022 and 2023 outlook. Gilbert please. 
Gilbert Lee : Thank you, Eric. Revenue for our fiscal 2022 third quarter rose substantially to $37 million from $21 million in the same period last year, an increase of 78% and the third quarter record. The increase was primarily due to higher shipments to our largest customers and stronger demand, as well as increased capacity.  Gross margin expanded 710 basis points to 18.8% in the fiscal 2022 third quarter, compared with 11.7% in the same quarter last year. Gross margin expansion in the quarter reflected higher proportion of export sales to our global brand customers in the U.S., which typically carry higher profit margins, as well as increased production and sales volumes.  Operating expenses totaled $4.6 million in this fiscal 2022 third quarter, compared with $2.4 million in the same period last year. The increase was primarily due to increased head count, after completing the acquisition of MK Garments. An increase in stock based compensation and recruitment for new migrant workers, as well as higher shipping costs that were in proportion with the increased sales volumes.  Operating income for our most recent third quarter rose to $2.3 million from $48,000 in the same period last year. Net income increased to $1.7 million or $0.13 per diluted share in the third quarter, from $94,000 or $0.01 per diluted share a year ago. Jerash’s balance sheet and cash position remains strong, with cash of $34 million and net working capital of $58 million at December 31, 2021. Inventory was $21 million and accounts receivable was $8 million.  As you know early in the quarter, we completed a public offering of common stock with net proceeds of $6.3 million which we expect to use for working capital and expansion plans. Net cash provided by operating activities was $4 million in the fiscal 2022 third quarter compared with $2 million in the same period last year. The change was primarily due to higher profit and working capital capacity. We expect the business to continue to generate cash from operating activities, and we have good access to supply chain financing programs with our major customers, and an untapped $3 million line of credit.  In terms of our fiscal 2022 fourth quarter outlook, we are increasing revenue guidance to be in the range of $29 million to $31 million as strong demand continues and our capacity further expands. Based on current order flow and orders already received, we also anticipate that fiscal 2023 revenue will reach a new record. Recent orders continue to reflect better product mix from our top global brand customers, which are expected to support gross margins in the high teens for the fiscal 2022 fourth quarter.  I would also like to remind you that operating expenses are expected to be higher in fiscal 2023, reflecting our growth in certain impacts on the pandemic recovery. We also anticipate stock based compensation to be at a higher level for the rest of fiscal 2022 and into fiscal 2023 compared to fiscal 2021.  As mentioned last quarter, while customer orders remain strong, potential risks from supply chain issues that some of our customers are facing still linger and could affect the timing of shipments in the near term. We're taking a cautious and conservative approach and will continue to closely monitor developments over the next few months. We expect to provide an update on our next call.  In addition our Board of Directors approved a regular quarterly dividend of $0.05 per share to our common stockholders on February 22, 2022 to stockholders of record as of February 5, 2022.  With that, we'll now open up the call for questions. Operator, may we have the first question please. 
Operator: Certainly. [Operator Instructions]. Your first question is coming from Mike Baker from D.A. Davidson. Your line is live. 
Mike Baker: Hi! Thanks guys. I wanted to ask a couple of questions. First can you talk about – it's great that your sales growth is coming from the largest existing customers who were great partners for you guys. But can you talk about your efforts to diversify to other customers what are you seeing from small or maybe up and coming customers and as part of that maybe update us on some of the tests you've done with the likes of adidas or others. Thanks. 
Sam Choi: Thank you, Mike. Eric, you want to answers this question, about new customers coming in. 
Eric Tang : Okay. So actually for new customers coming in, I think if you have, I mean watched Jerash for the past performance, you will notice that new balance is also coming up very quickly and it will continue to grow in 2022, okay. For new customer okay, we have already take two orders from adidas and I think most probably they will be talking to us about new orders for the later half of the year, and also there will be some new customers like Timberland okay and Sketchers. We are also at the final stage of discussion with them. So the outlook for 2023, these are the outline for the customer. 
Sam Choi: We are not sure what the volume is going to be in the next coming year from these new customers, but at least our existing customers are still growing strong. We will have at least as much orders from our existing customers, a new balance in the North East [ph] for the next coming year. 
Mike Baker: Yes, that makes sense. Okay the other question I wanted to ask is about your capacity increases and timing on breaking ground on the new 133,000 square foot facility which you guys have talked about. Is that – can you discuss the timing on when you break ground on that and when that should be – start to be operational and then how long it takes to be ramped up to fully operational? 
Eric Tang : Gilbert, shall I answer the question? 
Gilbert Lee : Yeah, please Eric, please go ahead. 
Eric Tang : Okay, so this new big factory okay [inaudible] we have already appointed the engineering consulting company to give us a plan and a design. I think hopefully, I mean maybe next month they will finish the initial planning and design and then we will have a board meeting to discuss to go through everything.  So I think most probably okay our time schedule that we may be able to start in the later half of the year okay and we will – okay, we will try our best to hurry up for creating the new facility and hopefully it will be – the duration will be around one year to 1.5 year. It depends on how large the size we are going to build. 
Mike Baker: Okay, okay, yeah we'll continue to watch out to increase the capacity. Okay great, I’ll turn it over to others to ask questions. 
Eric Tang: Okay. Thank you. 
Sam Choi: Thank you, Mike.
Operator: Thank you. Your next question is coming from Mark Argento from Lake Street Capital. Your line is live. 
Mark Argento: Hey guys! Nice quarter. Just wanted to dig in a little bit in terms of some of the trends. Obviously you guys benefited, you know a lot of incremental order volume. Do you think those orders that you're getting, is that because supply chain, you guys have been able to successfully navigate the supply chain so your customers have shifted more product or more production to your facilities or what are the underlying trends there and how sustainable do you think that they are?
A - Sam Choi: Well, thank you Mark. I think you have seen or we have seen in the past few years that more and more global brand customers have been shifting their production, have been shipping their sourcing away from Asia, particularly China, and we are getting a lot of the enquires from new customers and pressure for increasing capacity for existing customers in the past few years.  Now of course the pandemic hit in 2020 and kind of got everybody spooked, but as soon as the pandemic kind of released a little bit and all the orders came back and now this year is just a really robust year, and that was also fueled by the logistic issues, the supply chain issues and the lead time coming out from Asia, out from China and some of the southeast Asian countries are also getting hit by the pandemic, causing the factories to be shut down and not able to deliver on time to some of these global customers, so. And I also heard that a lot of the even smaller customers, they are trying to balance and they are trying to migrate some of the production out of China. So this is underlying trend that everybody is getting afraid of putting all their eggs in China and moving their production, as these balancing or diversifying their sourcing and – yeah, so we'll continue to see this and that's why we're increasing our capacity, hoping to take advantage of this trend. 
Mark Argento: Great! And should really gross margins, you know fairly impressive year-over-year improvement and then also as you go into next year the opportunity to maintain and maybe even grow gross margins. When you’re thinking about capacity allocation, obviously there’s certain products that carry higher gross margins than other products and you – you know how do you guys think about allocation, especially when production capacity is a fairly scarce resource. Are you focusing more on higher margin type products at this point or you know what's the philosophy there?
A - Sam Choi: Well, we're fortunate this year that the higher margin product mix and the exports to U.S. FOB orders are significantly higher or have increased this year, so allowing us to have a pretty good margin and good product performance. But as capacity increases and as we absorb the new customers, usually we will have to take a hit on the margin. Orders will be smaller at the beginning, we have to spend a lot of time and effort in developing samples and the efficiency will be hurt a little bit. But after we take on those new customers, everything will get back to a more normal level. Of course as capacity is limited, we have the luxury to choose what products or what customers we want produce for first and we will try to manage that and keep a very reasonable margin for customers or new customers who are demanding lower margins. Obviously we will tend to not do business with them or do smaller portions of business with them, and… So, but as our sales volume increase, I would imagine that we will have to take on some of the lower margin business as well. 
Mark Argento: Great! Thanks. Thanks for the answers and congrats on the strong quarter. 
A - Sam Choi: Thank you.
Eric Tang: Thank you very much. 
Operator: Thank you. Your next question is coming from Rommel Dionisio from Aegis Capital. Your line is live.
Rommel Dionisio: Yes, good morning. So a couple of questions. First, you know it's been an overall inflationary environment. I'm just seeing – wondering if you guys are seeing any cost pressure from the fabric side?
A - Sam Choi: Yes, we definitely see pressure on the fabric side and I also like to let you know that we have already started sourcing fabrics in the Middle Eastern region. The lead time which is the most critical factor for sourcing fabrics, especially for our global brand customers, the long lead time for getting fabrics from Asia, particularly all along we have been sourcing fabrics from China, Taiwan, Korea, Vietnam and because of the pandemic, the lead time has been extended from those countries, and some of those countries actually have shut down for a period of time.  So it added pressure to us, number one on the lead time and also on the costs, because the shipping cost has increased tremendously. I'm sure you heard, coming out of Asia, especially to North America, but even shipping from Asia to Jordan to the Middle East, the cost has increased quite a bit. Now, of course we are able to pass on the increased fabric cost and the transportation cost to our customers, because they understand it. Sometimes they even have to air ship some of the fabric or some of the supplies to us just to meet the deadline. So last quarter we began sourcing some of the fabrics and materials from the Middle Eastern region. We went to Turkey and to Egypt and we have some success. Right now we're working on a project with Timberland, where the fabric is sourced from Turkey.  Now the price of those fabrics are not going to be as low as from China. But the advantage is the lead time is much more – it's much shortened from shipping from Turkey to Jordan, comparing to when shipping from China, as well as the shipping costs would be lower. So overall I think the raw material costs will be slightly higher, but the advantage is that we can get the products, we can get the materials much faster. 
Rommel Dionisio: Okay, that's very helpful. Thank you very much. And one last question; you know you've been building – you have a nice cash reserve here. I think $33 million cash balance at the end of last quarter, which is nearly $3 a share. How do you guys think about that cash? Has your view changed as you continue to generate such strong free cash flow? You obviously pay a nice dividend, have a nice dividend yield, look – continue to look for acquisitions, but is the share buyback a possibility here. How do you guys think about that deployment of cash?
Sam Choi: Well, right now we don't have any plans to buy back shares. The reason that we did the stock offering in October was to raise some capital to be used for future expansion. We're going to – right now we're building a dormitory, which the total cost is about $8.2 million and that's going to be completed within this coming – in 2022.  We’re also studying the design and the engineering study for building a new factory in Jordan, so that is going to cost up to $20 million. Plus if there is any other smaller acquisitions of additional factories or manufacturing facilities and other cost savings projects such as solar energy, those kind of small projects, we will use the cash that we have on those projects to further improve our performance and to grow our business. 
Rommel Dionisio: Okay, that's very helpful. Congratulations on the quarter!
Eric Tang: Thank you. 
Sam Choi: Thank you, Rommel.
Operator: Thank you. Your next question is coming from Barry Posternak. Your line is live.
Unidentified Analyst: Hey guys! Also congrats on the quarter and the Q4 guidance. Was there any COVID impact in the quarter amongst your employee base and factory?
Sam Choi: Eric, you want to answer that?
Eric Tang: I'm sorry, I missed the question. 
A - Sam Choi: COVID impact on our employees and our…
Eric Tang: Okay, okay. Actually okay, we monitor very closely with all our workers and staff okay. So since the happening of the pandemic in Italy, because at that time okay the situation in Jordan is not so optimistic, so because all the public hospital already are in full capacity, so we immediately established our own isolation hospital and we employed our own doctors and nurses to take care of all the sick patients, okay, so it is in 2020 at the peak season of the pathetic. But since then we are still operating, although the number of patients reduced rapidly, okay. Last, I think – in every three months the Ministry of Health is monitoring a visit and check the health status of our workers and staff. Each time maybe they would take 200 or 300 of our people okay and to test the corona, okay. So the last visit is three weeks ago, which they took 200 samples from our workers and very good, we all came negative, okay, even with now and the cases of Omicron.  So and for the – in order to further protect our workers against COVID-19 okay, apart from all the workers and staff already took the two vaccines. Starting this month we have a special program with Minister of Health, which is we are the first to rush, the first apparel okay, arranging with the Minister of Health to come to vaccinate the booster to all our 5,000 workers and staff. We already started doing it last week and it will be continued throughout this month until all our workers and staff finish the booster.
A - Sam Choi: Yeah, we were also the first one that got all our employees fully vaccinated with two shots back in I think July and August. 
Eric Tang: July this year, yeah we finished the 2 billion – the two shots. 
Unidentified Analyst: That's great. Also given the supply chain issues that you know you're apparel manufacturers are dealing with, are your largest customers placing any outerwear orders in the March and June quarters to build inventory early?
A - Sam Choi: For winter season orders, whether they are placing orders early for this coming winter season? Eric… [Cross Talk]
Unidentified Analyst: Yeah, earlier than in prior years.
Eric Tang: Actually we have placed – placing order to us throughout I mean the year. Of course the number of – I mean to number of orders I mean is not that big okay for the summer. But in winter season okay, which we are now start producing in early March and early April, which is for the winter season. We expecting them, they are placing I mean more than – we have – they are placing around 2.8 million to 3 million pieces of jacket to us, okay. This is norm – it is nominal, the situation for the past couple of years and also this year we are also expecting new balance, another – the second primary customers okay will be increasing their volume of business with us too. 
Unidentified Analyst: Okay, and also on the MK Factory that was acquired, is that already operating at the margin you are targeting or is there a further, some further margin improvement expected?
A - Eric Tang: Actually when we started in October okay, so we hardly to make the factory breakeven, because it is a new start in October and November. But after November okay, we are already in the profitable situation because all our workers are already very accustomed and familiar with the styles we are producing in other factories. 
Unidentified Analyst: Okay, great. And last question; the further capacity expansion you mentioned - that was mentioned for the fourth quarter, is that coming from just squeezing out more production out of existing factory floor space or is it coming from the MK acquisition or what? I think it was mentioned that there was going to be some further capacity expansion in the current quarter, Q4. 
Sam Choi: In Q4 the only capacity expansion would be the absorption of MK capacity or MK’s the facility. That will be a comparison from the fourth quarter of last year. 
Unidentified Analyst: Okay, so the year-over-year. 
Sam Choi: We will continue to add more capacity at our existing facilities including MK. I think we have a project to expand one of our existing factory and add additional production lines in that. And MK if we want to, we could also add additional workers. I think we absorbed 500 workers, but we can add that – we can put more workers and add more machines in that facility to get it up to 800 workers. But right now we haven't really started that yet, but that is a possibility. And the only additional major capacity increase currently that we have planned, is to build on the piece of land that we have purchased two years ago, and build a new manufacturing facility. And that one, once it’s finished, it could add another 40% to 50% of capacity. 
Unidentified Analyst: Right, okay great. Thank you. 
Eric Tang: Thank you very much.
Sam Choi: You're welcome. 
Operator: Thank you. Your next question is coming from Mike Baker from D.A. Davidson. Your line is live. 
Mike Baker: Okay, thanks. One quick follow-up. In the past you’ve talked to us about long term gross margins in the high teens, EBITDA approaching 10%, margins are higher. With what you're seeing now, some of the higher margin trend your seeing, is that still the right way to think about it and how do we think about – you know you talked about more costs coming. How do we think about EBITDA in the fourth quarter and then in 2023? Thanks. 
Sam Choi: Well, I think fourth quarter, we’re just still seeing the margins at the high teens, which should be comparable to what we see in Q3. But in terms of EBITDA, because the sales volume for Q4 would be lower than what we saw in Q3, I think EBITDA would be somewhat lower, probably not at the 10% level. 
Mike Baker: When you say lower, you mean lower on a percentage rate or dollar basis or...
Sam Choi: Lower on the percentage. 
Mike Baker: Lower on a percentage base, okay. And how do we think about 2023? 
Sam Choi: 2023, right now we don't have any idea of what the growth percentage is going to be, because orders are still being placed and – but it will definitely be higher than 2022. We are confident of that, because we have a full year of capacity from MK and if we have any additional capacity that we could squeeze out from other existing facilities. But I don't think it will be like the growth that we saw this year. 
Mike Baker: I thought you were talking about top line. 
Sam Choi: Yes, top line. And bottom line, I think all the expenses, margin will be similar, and it's still going to be in the high teens quarterly. We'll have some fluctuations depending on which customer and what products we are producing, and operating expenses will be similar to this year. 
Mike Baker: Okay, that's very helpful. Thank you. I appreciate that. 
Sam Choi: Thank you. 
Operator: Thank you. Your next question is coming from Joe [inaudible]. Your line is live. 
Unidentified Analyst : Hello! Hi, I'm a retail shareholder in the company and I wanted to know more about the company's qualification as an ESG company in terms of the divestment strategies going forward today with the funds interested in companies that have social governance and environmental concerns. I mean what can you – I don't know if we meet the qualifications, but can you explain to me if you do meet the qualifications, what do you have to do to continually qualify for those qualifications? 
Sam Choi: Okay, we have some – we are always focused on ESG and I don't know if we are qualified or what kind of qualifications that we have to achieve, but all our customers are very focused, at least the major customers like VF, North Face and New Balance. They value us as a manufacturer, as a supplier that is fully focused on providing or trying to improve on ESG.  So I mean, they come to audit our facilities every year and they always give us very high remarks and put us on like their premier and the premium and at a high level in terms of achieving their requirements, whether to treat – how we treat our employees, how we run our facilities and we have projects like adding solar panels and using the recycled water and all kinds of activities that we do in order to not put any damage to the environment. 
Unidentified Analyst : You know I can understand that your customers…
Sam Choi: And we will continue to do that… 
Unidentified Analyst : Yeah, I can understand that your customers would probably want to get involved doing their inspections on that. But my concern is, what about the funds and the managers of funds that would – that are important investors to the company. Do they also look over your ESG responsibilities? 
Sam Choi: Well, so far we haven't really discussed any of our investors. We put any demand on or have taken any interest in how we do in our ESG. But we will continue to improve our communication with our investors to make sure that they understand and value what we are doing. 
Unidentified Analyst : Do you anticipate at all with any possible labor shortages in Jordan once the pandemic is over with? 
Sam Choi: No, we don't anticipate any labor shortages. In fact we are doing – even in our expansion, we are working with the government to provide more job opportunities to some of the less advantage people or areas, some of the high unemployed, unemployment rate rural areas where it was starting to provide them job opportunities and even to Syrian refugees that are – there are about 1 million Syrian refugees in Jordan and a lot of them don't have jobs. And what we are doing is work with the U.N., and we have programs to provide jobs to those Syrian refugees.  And we will also – are very successful in bringing migrant workers, overseas workers from India, Bangladesh, Sri Lanka to Jordan and work in our factories. About 75% of our workers are from those overseas, from those other countries. 
Unidentified Analyst : Yeah, I can understand the workers from Bangladesh and Pakistan, there are – because they are foreign workers. But the Syrian refugees have a different status and my question for you will be, will the Jordanian government recognizes the Syrian refugees, once they are working and have housing that you provide for them in some cases, citizenship of Jordan or they will never have citizenship. 
Sam Choi: Well that part I don't know, but the Syrian refugees, they don't really – we don't provide housing for them. They have to stay in the refugees’ camps and what we provide is free transportation. We hired buses to go to where they live, which is the refugees camps and the nearest one is about an hour away from our factory and we provide them free transportation. We also provide them of course medical help if they need it, and as well as childcare if they need to bring some of the small kids with them to work. We actually have a childcare centers in our facilities to help them take care of their children. 
Unidentified Analyst : Didn’t you say earlier in your presentation that you are funding dormitories, new dormitories for workers? 
Sam Choi: Yes, but the dormitories are mainly just for the overseas workers. They are not for the refugees. The refugees, they have to stay in the refugee camps. 
Unidentified Analyst : Alright, so the refugee camps are then supported by the Jordanian government, not by you. 
Eric Tang: No, not by us. The refugees’ camp is actually supported by the UNSCO. So according to the regulations okay, all refugees irrespective of any country okay, is not allowed to stay elsewhere, I mean outside the refugees camp. So we will – while as an employer we provide them the job opportunities, we provide the free transportation to them, we bring them early morning to our factory, and afternoon 4’O clock we bring them back to the concentration camp, sorry the refugee camp. And the Jordanian government agreed to pay them salary, which is the same as the Jordanian local people here. But the Jordanian government is not giving them citizenship and is only given them a residency okay in terms of as refugees. 
Unidentified Analyst : So, let me ask you this question dealing with the percentage of employees that are Syrian refugees and the percentage of employees that are Jordanian citizens and the percentage of employees that are visiting foreigners, such as Bangladesh and Pakistan and elsewhere in the world. Can you break those percentages down and what is the turnover rate?  The turnover rate would be something that would cause maybe minor disruptions in the business, maybe major disruptions, basically I wouldn't know how you guys handle that, because you’ll always have to be training all the time as new employees come in. Is there a way of determining that or is that a proprietary strategy? 
Eric Tang: For our 5,000, I mean workers and staff, around 75% are migrant workers and staff, 75%. The balance 25% okay, is from local Jordanian and also Syrian refugees. For Syrian refugees currently, only occupy a very small number, 180 Syrian refugees working in Jerash factory and the balance we have I think around 900 Jordanian, I mean workers and staff working with us.  So the Jordanian okay, they are quite stable because this is a long term job for them, but for the migrant workers okay, our country is usually three years, okay, I mean the initial contract. After three years they have the choice to leave our factory and go back to the country or they will take a vacation and come back again for another tour.  So according to our statistics okay, 80% or 75% of our workers are willing to continue after the first contract. Normally they will fulfill at least two to three contracts before they finally go back to the country okay. So your question is very good, because if they go back after finish the first contract and we have the newcomers, we need to train them again okay. This is not the situation, because usually we are bringing very experienced operators of the machines. We interview them and we see them – we saw the performance before we bring them here to Jordan to work for us. And also most of them finish maybe six, seven years or some 10, more than 10 years. So I think that I have answered your questions.
Operator: Thank you. Your next question is coming from Mike Disler [Ph]. 
Unidentified Analyst : Yes, I just – first off Sam, Gilbert, Eric, you know I’ve been on these calls for years. 
Sam Choi: Hello! 
Unidentified Analyst : Hi Gilbert! How are you doing? I just want to say, most every question possible has been answered and asked. So you know I’m really calling congratulations on the quarter. And you should know that the shareholders, both large and small, I'm sure appreciate the level, the depth and the transparency of your calls and that's it. I just, I got nothing more to add. You've answered every question. You guys are just doing a killer job and we all appreciated it. Thank you very much. 
Sam Choi: Thank you very much. 
Eric Tang: Thank you. 
Operator: Thank you. There are no further questions in the queue. I will now hand the conference back to Mr. Sam Choi, CEO for closing remarks. Please go ahead. 
Sam Choi: Thank you, operator. And thanks again to all of you for joining us today. We appreciate your support and interest in our company and look forward to speaking with you again on our fiscal 2022 fourth quarter call. Thank you everyone. 
Gilbert Lee: Thanks. Thank you.
Operator: Thank you, ladies and gentlemen. This conclude today's event. You may disconnect at this time and have a wonderful day! Thank you for your participation.